Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Dundee Precious Metals Third Quarter and Year-to-date 2019 Earnings Conference Call. At this time, all participants’ lines are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Hadia Chaudhry. Please go ahead, ma’am.
Hadia Chaudhry: Good morning, everyone. My name’s Hadia Chaudhry, Legal Counsel. Welcome to Dundee Precious Metals third quarter conference call. With me today are Rick Howes, President and CEO; and Hume Kyle, Chief Financial Officer, who will each comment on the quarter; as well as David Rae, Chief Operating Officer, who’s here today to assist with answering questions following our formal remarks. After the close of business yesterday, we released our third quarter results, and I hope you’ve had an opportunity to review our material. All forward-looking information provided during this call is subject to the forward-looking qualification, which is detailed in our news release and incorporated in full for purposes of today’s call. Certain financial measures referred to during this call are not measures recognized under IFRS and are referred to as non-GAAP measures. These measures have no standardized meanings under IFRS and may not be comparable to similar measures presented by other companies. The definitions established and calculations performed by DPM are based on management’s reasonable judgment and are consistently applied. These measures are intended to provide additional information and should not be considered in isolation or as a substitute for measures prepared in accordance with IFRS. Please refer to the Non-GAAP Financial Measures section of our most recent MD&A for reconciliations of these non-GAAP measures. Please note that unless otherwise stated, operational and financial information communicated during this call have generally been rounded, and any references to 2018 pertain to the comparable period in 2018. On this morning’s call, Rick will comment on our third quarter and year-to-date operating results as well as the progress being made on our exploration programs for the quarter. Hume will then provide a brief overview of our third quarter and year-to-date financial results as well as our guidance for 2019. With that, I’ll turn the call over to Rick.
Rick Howes: Thank, Hadia, and hello, everyone. Thanks for joining us today for our third quarter 2019 conference call. I’m pleased to provide you with an update on third quarter results and progress on our key projects and initiatives. We achieved record quarterly gold production at Chelopech and Ada Tepe. However, the adjusted earnings per share of $0.03 and cash flow per share of $0.12 in the third quarter, and that only reflected a solid performance. Timing of the concentrate deliveries at Chelopech and the finalization of commercial sales agreements at Ada Tepe resulted in building a metal inventory and lower copper and gold sales that produced. As a result, we expect a very strong fourth quarter with sales being significantly higher reflecting the drawdown in this inventory. We have now successfully completed the ramp up of gold production at Ada Tepe in mid-September, following achievement of the commercial production in June. The temporary constraint at Ada Tepe due to the integrated mine waste facility was successfully resolved by the end of August. Both operations performed in line with third quarter operating plans and remain on track to achieve their 2019 production guidance. Record gold production of 65,642 ounces in the third quarter was produced at a cash cost of $528 per ounce at an all-in sustaining cost of $728 per ounce, which has started to come down further now that Ada Tepe has reached gold production capacity at the end of Q3. Tsumeb copper concentrates smelted at 42,186 tonnes was lower than planned due to an incident which occurred in early September and caused injuries to two employees and some damage to the furnace and offgas systems. This resulted in a 14-day average to carry out repairs. On restart following this outage, there was a failure in a section of the Ausmelt furnace lining, which resulted in having to keep the plant down to do a furnace reline and advanced the other main annual maintenance shutdown work that was originally planned for the fourth quarter of 2019. The plant resumed operation on October 25, 2019 and it’s now operating well and we expect to be within the guidance for the year. With Ada Tepe capital spending out complete, our balance sheet remains strong. At the end of the quarter, we had cash of $15 million, investments of $45 million, debt of $27 million, down $14 million from the last quarter and an undrawn revolving credit facility of $148 million. We expect to quickly pay off remaining debt and start building a cash position in the next quarter. We saw a quarter-on-quarter move up in the gold price to an average realized price of $1,461 from $1,321 in Q3. Copper prices moved lower with an average realized price of $2.64 from $2.77 in Q3. Recent strong move up in gold price of June to the $1,500 level seems to have aided by the dovish sentiment of both the Fed and European Central Banks, and low interest rates aided by the economic concerns over the U.S.-China trade dispute and other geopolitical stability and global economic concerns. Chelopech produced 40,308 ounces of gold and 10.1 million pounds of copper at a cash cost per ounce, net of by-product credits, of $453 an ounce. The decrease of gold production compared to the first two quarters was due primarily to slightly lower grades and recoveries. Gold and copper grades in Q4 are expected to be similar to Q3. We have a number of key improvement projects underway this year that will enhance revenues and decrease costs, including drill and blast optimization and the transition from the use of ANFO to emulsion explosives, autonomous drone survey, further mill optimization and move to integrated dynamic mine planning and execution with MineRP and the introduction of the digital smart center for improved decision-making. We are continuing with our successful in-mine resource development drilling program, which totaled 15,800 meters in the quarter concentrating on the upper levels of target 700 Blocks 151, 5, 25 and 10. Further to this, the areas down plunge of Block 144 and extensional drilling towards Block 151 to explore a prominent trend of mineralization on the upper levels of Block 151. The result of this program has been the extension of the existing ore body, even northwesterly direction between the 480 and 350 elevations. In Q4, in addition to these areas, we will carry out a short program to define the mineralized contours of Block 153, which is still open at that. In the regional exploration program around Chelopech, 2,283 meters of diamond drilling was completed at Wedge target on the Sveta Petka and Brevene exploration licenses. Along with southern and central part of the Wedge zone, a deep direction on drilling program to test the Northern extension on Blocks 147 and 149 is in progress. Exploration plans for the fourth quarter of 2019 includes 2,200 meters of drilling near the Krasta prospect. The Ada Tepe mine first production was in March of this year. We have reached commercial production in June, received final operating permits in August and reached full production in September while coming in under budget at the end within one quarter of the original schedule. This was an impressive feat in today’s mining industry and we have recognized the great effort by both our project build teams and our operating teams to achieve this. We’ve been running in 100% of design throughput of 105 tons per hour since mid September and have design recovery since June. 581,000 tons of waste and 158,000 tons of ore was mined in the third quarter and 154,000 tons of ore was treated through the mill at an average grade of 5.9 grams per ton. Head grades were purposely raised in August and September following stabilization of the mill performance by blending from the high grade stockpiles. Gold mill recovery was 87.1% for the quarter reflecting the higher grades fed to the mill. Despite the lower mill throughput, as we ramped up production in the quarter, gold production was 25,314 ounces. Payable gold and metal sold was 10,094 ounces as a result of a buildup in concentrate inventory on site. This was because only test lots were sent to a number of potential smelters for the purpose of selecting and finalizing current years price centric sales agreement. Sales agreements were now complete and inventory build-up will be drawn down to normal levels in the fourth quarter. The temporary constraints related to the integrated mine waste facility due to the longer than expected tailing settlement time was resolved in August, allowing the ramp-up to full production to proceed in September. This was solved by redesigning the subsequent sales to improve consolidation, drainage rates, and by adding additional resources to speed up cell construction time. In addition, we were testing different reagents to aid in faster consolidation and building two contingency cells with the first one now completed in October. The second one is expected to be ready in the first quarter of 2020. It was also helping with the size of the IMWF cells which are increasing as we move, move up the Valley, allowing for longer settling and construction time when switching between the two valleys. We are continuing with our exploration efforts around Ada Tepe, drilling commenced in third quarter of 2019 under Chelopech exploration license which is approximately 25 kilometers Northeast of Ada Tepe with encouraging early results. During the fourth quarter exploration work will continue at Chelopech and commenced at the Elhovo license to the Southwest of Ada Tepe. At Tsumeb smelter complex concentrate smelted during the third quarter of 2019 was 42,186 tonnes, which was lower than expected due primarily to the previously reported pressurization event in the Ausmelt offgas system that occurred on September 3, 2019 during a restart after routine maintenance. Repairs to the damaged offgas system components were completed over a 14-day period and during the restart of the facility, it was determined that the initial pressurization event had also caused damage to the lining of the furnace. This resulted in advancing the Ausmelt furnace reline and broader smelter maintenance shutting down work that we’re planning for the fourth quarter. These were completed over the 38 day period. The plant resumed operation on October 25, 2019 and is operating well. With the improved temperature stability of the furnace operations we anticipate achieving 18 to 24 months lining life between the rebuild, which would mean the next major maintenance shutdown would not occur until 2021 allowing for increased complex concentrate smelter be put in 2020. With good process stability reached and the continuing effort around performance and cost improvements, we are seeing improving financial results from this smelter. Tsumeb generated EBITDA was $3.3 million in the quarter and a record year-to-date EBITDA of $25.3. Cash cost per ton of complex concentrate smelted net of by-product credits this quarter is $516 per ton was higher than the previous quarter through the low due to the lower tonnage smelter. Cash cost per ton during the first nine months was $408 per ton, which is in line with the guidance. We continue to advance the smelter expansion project to increase the throughput of complex concentrate to as much as 370,000 tonnes per annum. The feasibility study was completed in the fourth quarter of 2016 and confirmed the robust project economics with an estimated implementation capital cost of $52 million. The scope of the project includes rotary holding furnace, additional cooling and other upgrades to the Ausmelt furnace, as well as upgrades to the slag mill area. Work to secure the necessary permits to support this planned increase in production is progressing. We submitted an updated ESIA for approval in July 2019, and are awaiting review and approval from the environment ministry. Discussions are ongoing for potential new sources of complex concentrate feed to fill this expanding capacity. On July 15, 2019, we announced the results of preliminary economic assessment for our Timok Gold Project for Bor district in Serbia. The PEA is based on an updated mineral resource estimate completed in September 2018 and provides a base case considering primarily oxide and transitional material types, upon which the project will now be optimized for mining and processing strategies, including an economic valuation of the larger sulphide resource. The study is based on open-pit mining and heap leaching of the oxide and transitional material followed by later construction of a conventional mill facility to produce a flotation gold concentrate. Summary highlights of the project are: an after-tax NPV over $105 million and after-tax IRR of 18.6% at $1,250 gold and an all-in sustaining cost of $717 per ounce and peak annual gold production of approximately 132,000 ounces. Initial capital cost is $136 million, with a mine life of nine years. Based on results of the PEA, we are conducting geotechnical and hydrogeological study as well as further optimization work to target additional sulphide material prior to commencing a preliminary feasibility study. We’ve have completed our permitting and approvals plan incorporating the environmental and social impact assessment process and approvals as well as all additional licensing, and we are currently developing our stakeholder engagement plan. Our Serbian exploration activity focused on Timok and Tulare project continues. Application to extend the Potaj Cuka and Bigar Istok exploration licenses for an additional two years were approved on July 19. Two exploration drill holes on the northern flank of the Bigar Hill deposit, demonstrated potential for previously unknown mineralized trends outside the existing resource at the Timok Gold Project. And further drill testing is planned for the fourth quarter. At Tulare, a revised geological interpretation was used to generate drill targets for higher grade gold-copper mineralization at depth. Drill testing of priority targets is planned for the fourth quarter. We see great potential for our investment in MineRP, a unique new enterprise digital platform for the mining industry. We are starting to see strong interest in sales growth with large mining industry plant looking to digitally transform their business. We are seeing significant growth of revenues in Q3 and expect its revenue growth trend to continue as mining company interested in the same platform industry growth. We ourselves are adopting MineRP as well as many other digital technologies to transform our business. The intent we have for MineRP is to introduce new planning enhancements and enable the intelligent use of data. Key benefits expected from this initiative are data unification to a single platform, ability to dynamically plan schedule and execute our planning with real-time monitoring of performance versus plan and much faster response time to better decision-making through the use of data. On October 28, 2019 we invested $10 million pursuant to a private placement, resulting in an approximately 19.5% equity interest in INV Metals. This investment is in line with our disciplined capital allocation framework that balances reinvesting capital in the business in an accretive manner with building financial strength and returning capital to shareholders. The Loma Larga project and deposit has strong similarities to our Chelopech mine and our technical and operating skills as well as our skills and commitments to sustainability are expected to be valuable to the INV during the next phase of permitting. In summary, with a strong result from Chelopech and Tsumeb and ramp up of production at Ada Tepe are now complete. We are positioned to start generating significant free cash flow from the business earning this quarter. This reflects exceptional progress our team has made over the last several years to improve the performance of our operations and advance our key growth projects like Ada Tepe, which is now at full production. Tsumeb continues to improve and contribute to the free cash flow of our business, with further upside possible by increasing throughput and reducing costs further. And Chelopech continues to perform exceptionally well and continues to extend its life through exploration success. Our Timok Gold Project in Serbia, currently in early stage, development stage is advancing well as a potential next stage growth for the company. And we are looking for gold growth prospects that will generate strong returns and enhance value. We’re looking for other growth projects that will generate stronger returns and enhance value of the company. We expect a strong performance in 2020 from all three assets, enhanced by the fact that we do not anticipate having an annual maintenance shutdown in 2020 at Tsumeb. In discussion with our shareholders and Board, we have adopted a disciplined capital allocation framework that will balance reinvestment in growth in the business and returning capital to shareholders, once we are in a position to do so. With significant growth and free cash flow now underweight and future organic growth potential alarm with a very strong management team, we represent a real growth and value investment opportunity for investors. Thanks, and I will now return the call to Hume who will review the financial results and 2019 guidance following which we will open the floor to questions.
Hume Kyle: Thanks, Rick. Good morning everybody. Overall, as Rick noted, in the quarter we saw weaker operating assaults at Tsumeb due to the downtime that was taken in September. That had the effect of reducing our bottom line by approximately $8 million. And we saw strong operating performance at both Chelopech and Ada Tepe that contributed to the record gold production in the quarter. From a financial perspective, however, the record gold production did not reflect in the third quarter results due to the timing that Rick highlighted earlier. And combined these two factors contributed to an excess of 20,000 ounces of gold, representing roughly $30 million in gross revenue that was produced but not sold in the quarter. This will fully reverse in Q4 and contribute to results from fourth quarter sales and earnings. Q3 adjusted earnings of $0.03 per share, slightly above consensus estimates, compared with $0.10 in 2018. And adjusted EBITDA was $33 million, down from $36 million in 2018. In addition to timing of metal deliveries and Tsumeb downtime, which were the dominant factors impacting the quarter, third quarter earnings did benefit of the start and commencement of shipping concentrate from our Ada Tepe mine, as well as higher growing gold prices which averaged $1,461 per ounce in Q3, stronger U.S. dollar, lower treatment charges at Chelopech and higher estimated recoveries at Tsumeb. For the first time adjusted net earnings was $0.10 per share, compared to $0.18 per share in 2018. And adjusted EBITDA was $83 million, compared to $87 million in 2018. This period over period year-to-date performance was impacted by the same factors I noted for Q3, as well as higher local currency operating expenses, principally around labor and fuel, lower toll rates and reduced reductions for stockpile interest at Tsumeb and with the startup at Ada Tepe, higher depreciation. From mechanical perspective, Q3 and year-to-date free cash flow was $21 million and $55 million respectively. These results were slightly lower than the comparable periods of 2018 and we’re impacted by the same factors that impacted adjusted EBITDA as well as by cash outlays for sustaining capital expenditures or that were up for the quarter, mainly due to timing and comparable on a year-to-date basis, which is consistent with our plan 2019 in CapEx spent. Turning to the key cash cost measures are all-in sustaining cost per ounce for Q3 was $728 up $108, on a year-to-date basis, it was $751 up to $144. And these increases were primarily due to the impact associated with slower than anticipated ramp up to full production at Ada Tepe, which have the results of lower grade materials initially produced been delivered in the quarter as well as lower grades at Chelopech, higher cash outlays for sustaining CapEx, partially offset by a stronger U.S. dollar lower treatment charges at Chelopech. At Tsumeb, Q3 cash costs were $516, up $154 from 2018. This is primarily due to the lower throughput coming from both planned and unplanned downtime, partially offset by the favorable impact of a stronger dollar. Year-to-date cast costs was $408 down $49 from 2018 due primarily to the favorable impact of a weaker ZAR and higher by-product credits from higher acid prices, partially offset by higher OpEx again principally related to higher labor and fuel rates and then lower volume. From a capital standpoint, sustaining growth capital expenditures for the third quarter were $11 million and $2 million respectively for an aggregate of $13 million down from $27 million in 2018. Sustaining and growth capital expenditures for the first nine months were $9 million – $19 million I should say, and $35 million, respectively, for an aggregate spend of $54 million, down from $84 million in 2018. These decreases were primarily due to the reduced outlays in connection with the construction at the Ada Tepe mine, which was completed earlier this year, partially offset by higher sustaining capital expenditures, all of which quarter in line with our times for the year. At September 30, our financial position remains strong with minimal debt and asset cash resources. From a risk management perspective, during the quarter we reduced or increased our 2020 hedge positions are reduced Tsumeb’s Namibian dollar operating cost exposure. As a result, at September 30, approximately 82% of Q4 2019 operating costs were hedged using a zero cost option strategy that provided for, on average, a minimum and maximum exchange rates of 14.09 and 15.55, and approximately 77% of our 2020 exposure was hedged using a similar strategy that provides for on average of minimum and maximum exchange rate of 14.63 and 16.13. We also have our prepaid forward gold sales arrangement, which as you may recall was entered into in 2016 as part of our strategy to reduce the risk associated with proceeding with the funding, the construction of Ada Tepe. This arrangement requires that we deliver an aggregate of 46,000 ounces over a period of 15 months convincing on November 19 running through to April 2020 in satisfaction of the upfront $50 million cash prepayment we received in September 2016, and represent approximately 14% of the expected gold deliveries during this period with approximately 75% of the deliveries occurring in 2020. Looking forward, over the balance of the year, full year production guidance remains unchanged from the guidance provided on our October 9 news release that contained our Q3 production results and updated guidance. For the year, we remain well on track to achieve both our current and the original guidance that we issued earlier this year. And all cash costs guidance remains unchanged with the exception Ada Tepe’s cash cost per ton, which we lowered it to $50 to $55 per ton, $55 to $65 to reflect year-to-date performance. In closing, with Ada Tepe now at full production and expected to draw down the elevated Q3 inventories containing an excess of 20,000 ounces and assume that now back up and running and running well, Q4 is shaping up to be a strong quarter with 2019 gold production on track to achieve a new annual record. This should translate into strong free cash flow generation for the quarter, which will be used to eliminate all remaining drawdowns such as revolver and the building of a modest cash position by year end. With that, I turn the call back to the operator.
Operator: Thank you. [Operator Instructions] And our first question will come from the line of Cosmos Chiu from CIBC. You may begin.
Cosmos Chiu: Well, I guess, I change jobs. I’m still at CIBC. Hi, Rick, Hume and David, thanks for the call here. Maybe my first questions on Tsumeb, glad to hear that all the issues that you’ve had that caused the downtime has now been resolved. I guess, my question is more on CapEx. I see that you spent about $5.6 million in CapEx, I assume it, versus a full year guidance of $14 million to $18 million. I would have thought that you would have had to spend more money given all the unplanned sort of maintenance, all that work that you might have had to do in Q3. Could you maybe walk me through, in terms of how I show reconcile that number to a full year guidance?
David Rae: Hi, Cosmos. It’s Dave. We are expecting to spend on the low side of the capital guidance, some potential mix on the low side, which would be a nice problem to have. However, the reason why we’ve left it the way it – a lot of that capital that we expected is in fact associated with the shutdown. So we are talking about around $7 million just associated with the shutdown alone. And not all of that, of course, we spent after the fact we are going to see an accelerated spending Q4.
Hume Kyle: And definitely just add to that as well. For the September downtime, most of the cost was incurred in that month, the three in connection with repairing the damage from the pressurization event, that actually brought us a lot of money, call it like $1 million and then the costs associated with the maintenance and the additional costs that has already been incurred just in terms of pre-purchase, hey will be incurred in October.
Cosmos Chiu: Okay. For sure. And maybe the same sort of question for Chelopech and Ada Tepe. You’re sort of running below guidance at Chelopech and slightly above guidance at Ada Tepe. Could you maybe comment on that as well in terms of CapEx?
Hume Kyle: Ada Tepe is going to be more associated with the IWS and the assets that we had to put into basically get ahead those odd issues with capacity. So it’s a shell pit it’s predominant fact of those – so that construction fee the TMS, the rates of the TMS, that is expected to be completed in December. So that’s slightly ahead of the original schedule. I think, I’m just betting about this going to be in Q1, if I recall correctly. So at this point, I think we are expecting this per mg level continue to be trending a little high at Chelopech. I think the costs are pretty well set at the moment. So you know there is a variant it’s likely to be towards the low end of guidance. Do you have any comment on that?
David Rae: Year-to-date, it’s all timing but we do expect to see a pickup in Q4. And fully the fact that our sustaining CapEx guidance for the year will fall within the range that we provided.
Cosmos Chiu: For sure. And maybe more specifically on Ada Tepe here. I don’t know how much you share with us, but I just – I want hopefully a bit more detail in terms of the stockpiles, in terms of tonnage and grade and what you have so far in those stockpiles? And how did a stockpile kind of going to fit into your overall strategy in terms of mine plan in short term, long term. Are they going to continue utilizing some of those higher grades off that stockpile in 2019? And then is that going to last into 2020?
David Rae: So Cosmos, we’ve consumed the higher grade stockpile and we back to something more typical at the resource great in Q4. So we’ve utilize that to get a little ahead of the reduced tonnage period and benefited from an early rates on recovery. So I would say that going forward we have roughly 150,000 tons of normal materials sitting surfaces of lower grade material. That is forecast to be sort of at the end of the life of mine, not too immediate, sort of the next six months, a year, two years sometime. So overall what you can expect to go to the furnace I think is really what you’re going to get, it’s going to be our resource grade over the next 18 months.
Cosmos Chiu: Okay. And then on that kind of related to it as well in terms of recovery, I think your technical reports have pointed to about 85% recovery and it was certainly good to see that you’re over that 87% and but we expect that to come down then, if you’re looking at grades that could be coming back down sort of to reserve resource sort of level in terms of grade.
David Rae: Yes. So we do think that the particular recovery performance that we had in Q3 was associated to the higher grades. Typically, we were ranging between 83% and 87% sort of range that we see and we feel like 85%, is the right number to be guiding on at the moment. Having said that, of course, we will be starting to bring in our continuous improvement practices, we have a few ideas on how we can improve this. But now the 85% is the right number to keep in mind to give projecting fold.
Cosmos Chiu: For sure. Maybe switching gears a little bit here, maybe a question for Rick. I haven’t really had a chance to talk to you, Rick, since the investment into INV. Maybe I know you touched on it earlier on during the conference call, but maybe – could you maybe elaborate a little bit more in terms of what do you see in INV, I know it’s not the biggest investment? But are there any concerns in terms of the geopolitical situation in Ecuador? And what’s a longer term sort of thinking behind this investment here? And maybe a bit more comment into the overall strategy for DPM as we generate other cash in Q4 2019 also into 2020 in terms of capital allocation?
Rick Howes: Sure, Cosmos. So the investment in INV at this stage is purely strategic investment. And it’s not that we made any decision really what we want to do in terms of that going forward beyond the strategic investment amount that we’ve invested in this stage. We do think, obviously, there’s some great similarities in terms of the mine itself. And it’s a like an orebody that it is an isolation on ore bore body. It looks very similar to have passion in terms of – in terms of the mineralization, in terms of the type of mining that that’s being proposed processing. And of course, it’s a higher arsenic concentrate as well. So, it produces an arsenic copper concentrate, which again, would fit very nicely with our strengths around the smelting side of the business. So, based on that, we certainly can help with that project in many ways on our skills and we can enhance that project value. We think with those skills and knowledge. So that’s really, the – I’ll say the near-term focus for us is to help this project along, perhaps help it through a permitting phase. And we’re now a part of the technical advisory group on the project and we have a board seat on INV. So it’s a – I’ll call it an optionality thing for us to some extent at this stage, it’s too early to say what we would really do long-term and there are some permitting difficulties I think that there’ll be faced with in terms of the environment that’s there. They haven’t advanced through the permitting phase yet. And there are of course, a bit of – I’ll say geo – political and social concerns associated with the project and the mining in that region. So that, that one got to be addressed first and so obviously, we’re not interested in taking a high risk on that, on that aspect. So, hence the – I’ll call it the total investment that we’ve made. Beyond that, I’d say, we’re focused around organic growth and our capital allocation framework obviously, is all about a balancing investment and growth in the business with a return of money to shareholders. So, we’ve spent a fair bit of time with both our shareholders and our board to essentially align around the strategy around capital allocation that makes sense, given our situation in terms of a strong free cash flow growth is coming. So, it’s a balanced approach that we’ll be taking and in terms of the investment in growth obviously, we are looking for creative investments or investments that generate substantial returns for our shareholders. And so that will be the way in which we look at it. And then we look, in organic growth, we have at CE Mark, that’s going to be the primary focus to keep advancing that project forward, optimizing it to generate, again, strong returns and a strong outcome for our shareholders and stakeholders – all stakeholders really and continue to look around for other growth prospects. We will be doing that as well, but again, using our very discipline approach to generating strong returns for those projects. So, we are in and out, I would say, are focusing around using some of the free cash flow generation for growth as well as returning money to shares.
Cosmos Chiu: Yes. And Rick on that, should we expect or could we expect DPM to make more of these strategic investment toehold investments in companies and other companies in the future?
Rick Howes: Possibility is there, the ones that really sort of; we can demonstrate really attractively returns on, the universe of those limited given, straight from our share price and so one currency to do them. We must be careful about the ones that we choose, but I would say if they fit the profile and there’s a way of approaching, getting a total, hit them the right projects and certainly consider it.
Cosmos Chiu: Yes. And then Rick, I don’t know if you can share with us, but did you and had you looked at INV for a long time. Was this like a – are we talking years or months, how did – how did it come together?
Rick Howes: Yes. We’ve been aware of this project for quite a few years and even when it was called flimsy culture under iron gold. But I think it’s probably peaked in the last couple of years and we’ve been a bit more time looking at it and determining what the project looks like and so on. So, yes, it’s not been a short-term thing. This is something we’ve been keeping an eye on for awhile.
Cosmos Chiu: For sure. Thanks to Rick and team. Those are all the questions I have. Have a good weekend.
Rick Howes: Thank you. Thanks, Cosmos.
Operator: Thank you. [Operator Instructions] And I’m not showing any questions at this time. I would like to turn the call back over to Rick Howes for any closing remarks.
Rick Howes: Thank you for joining us on our call today and I wish everyone a great weekend. Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.